Operator: Welcome, and thank you for standing by. At this time, all participants are in listen-only mode. After the presentation, we will have a question-and-answer session. (Operator Instructions) This call is being recorded. If you have any objections, you may disconnect at this point. Now I’ll turn the call over to Mr. Glen Ponczak. Sir, you may begin.
Glen L. Ponczak: Great, thanks, Phil and Mica. Thanks everybody for participating this morning. Before we start, I just wanted to remind you of our forward-looking statements. That Johnson Controls will be making statements in today’s presentation that are forward-looking and therefore are subject to risks and uncertainties. All statements in this presentation other than statements of historical fact are statements that are or could be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. In this presentation, statements regarding future financial position, sales, costs, earnings, cash flows, other measures of results of operations, capital expenditures or debt levels and plans, objectives, outlook, targets, guidance and goals are forward-looking statements. Words such as may, will, expect, intend, estimate, anticipate, believe, should, forecast, project or plan, or terms of similar meaning are also generally intended to identify forward-looking statements. Johnson Controls cautions that these statements are subject to numerous important risks, uncertainties, assumptions and other factors, some of which are beyond the company’s control that could cause Johnson Controls’ actual results to differ materially from those expressed or implied by such forward-looking statements. These factors include the strength of the U.S. or other economies, automotive vehicle production levels, mix and schedules, energy and commodity prices, availability of raw materials and component products, currency exchange rates, and cancellations of or changes to commercial contracts, as well as other factors discussed in Item 1A of Part I of Johnson Controls' most recent Annual Report on Form 10-K for the year ended September 30, 2012 and Johnson Controls' subsequent Quarterly Reports on Form 10-Q. Shareholders, potential investors and others should consider these factors in evaluating the forward-looking statements and should not place undue reliance on such statements. The forward-looking statements included in this presentation are made as of the date of this document only, and Johnson Controls assumes no obligation, and disclaims any obligation, to update forward-looking statements to reflect events or circumstances occurring after the date of this presentation. As always, I’m joined this morning by Steve Roell, our Chairman and Chief Executive Officer, who will provide an overview of our third quarter results, followed by Alex Molinaroli, our Vice Chairman, who will review the Power Solutions and Building Efficiency business results, then Bruce McDonald, Executive Vice President and Chief Financial Officer, who will review the Automotive business as well as the financial review of the overall quarter, followed by questions and answers, and we will end the call promptly at the top of the hour. And with that, I’ll turn it over to Steve.
Stephen A. Roell: Okay. Well, thank you, Glen, and good morning. Let me begin by saying that we’re very pleased with the results of our fiscal third quarter. The strong earnings and cash flow are consistent; in fact, they are actually higher than the guidance we provided to you in last quarter’s call. We achieved those results despite the fact that business conditions remain challenging across our industries. There was some more exception to that as the North American automotive industry, which as you’re well aware of, remains strong as evidenced by the high retail activity in the month of June. In the quarter, automotive production on the continent was up 6% from a year ago. Dealer inventories are in fairly good shape and that bodes well for this quarter’s production. We’re currently anticipating the North American production will approximate 4 million units in the quarter ending in September, which would equate to about a 4% increase over last year’s comparable period. Despite everything you read about a slowdown, in China automotive sales and production remained strong. In the quarter just entered, production will be up 10% and we expect that in the upcoming quarter that we can see an increase in production of roughly 7% year-over-year. In Europe, production levels were slightly lower and recent industry forecasts are projecting that future periods will begin to show growth. We are still expecting that in the quarter that we are entering – that we are in right now that production will be slightly lower than it was in the comparable period a year ago. Turning to Building Efficiency, non-residential construction demand is softer than we expected. However, we are seeing improvements in a number of markets, most notably the Solutions business, where we are, our pipeline of bidding activity has increased. We continue to see strong quoting activity and continued strength in the federal and state government markets, and Asia continues to be a point of strength for us. We expect our backlog at September end to be just slightly below the level of the prior year as based on some of the large jobs that we anticipate being awarded in the quarter. Battery demand in the aftermarket North American and Europe was weaker than expected again. A point-of-sale tracking that we have with several retailers reflects continued soft demand. However, our shipments to OEs were up 14% North America and Europe, and that helps to offset some of the weakness in the aftermarket that I just referred to. So there are some positive signs, but as I mentioned in our last call, our results in the second half of this year were not dependent upon near term recoveries of our markets. In April, we indicated that we were at a point of inflection, I think that was Bruce’s term, and our third quarter was just that. Let’s just look at the numbers now and flip to the next slide. Sales of $10.8 billion were up 2% with Power Solutions providing that growth. Segment income of $764 million was 20% higher, with all three business units contributing double-digit increases. Net income of $535 million was up 18% and diluted earnings per share of $0.78 compared to $0.66 per share, and as of course, taking out the one-time items. Just a couple of other general comments, with the lower top line growth we were dependent upon margin expansion, and we were pleased with 110 basis point increase in our segment income. We were particularly impressed by the improvement that we saw in both Building Efficiency and our Automotive in terms of basis point increase in their margins. Bruce is going to cover two things with you specifically, one with the strong cash flow in period and also the definitive agreement that we reached to the best of our HomeLink product line that was announced in our press release today. In terms of future earnings per share guidance, we increased our EPS outlook for our fourth fiscal quarter to the range of $0.93 to $0.95 per share, it’s a 20% increase over last year roughly. We expect all three businesses to contribute significantly in the quarter. Last January, I talked about the factors that would help drive our second half results. And if you recall over five key elements, I just like to review those with you. The first was the fact that we would benefit from restructuring actions that we took in late fiscal 2012, and clearly that's been a factor in our improved results and our momentum in the second half. We did take some additional restructuring actions this quarter in our announcement, this beneficial primarily fall in the fiscal 2014. Last year if you recall, we encountered high core costs in our Power Solutions business and while those costs remain high, we were able to initiate pricing actions to offset those costs. In addition, we managed our inventory of course, more effectively this year, while still ramping up for our Florence, South Carolina smelter. The other factor was our margin expansion in BE associated with their pricing initiatives and cost containment. we saw 120 basis point improvement in Q3 in that business unit. We’re also accounting on improvements in our metals in South American operations and Automotive Seating and those clearly met our expectation. And the one item that we did rely on in terms of exterior, their outside performance was the North American production increased in North America. And I’d mentioned that earlier that we had a strong quarter in North America and continues to be so in our fourth fiscal quarter. So with that now I would like to turn over the call to Alex who will comment on Power Solutions and Building Efficiency. Alex?
Alex A. Molinaroli: Good morning, everyone. First, I’ll start with Power Solutions as on Slide 7. As you can see, sales were up to $1.4 billion, this 8%, and if you adjust for FX and for lead, our sales were up 11%. Our OE volumes were the driver of that, at 16% growth and aftermarket volumes were down at 4%. We didn’t lose any share, but what happened is, we still haven’t seen the kinds of volumes that we’re expecting due to weather. good news we’re seeing some weather now. So we’ll hopefully be able to update that at end of the fourth quarter. For the overall shipments, which you’ll see is that, we had overall shipments up 2%, Americas is flat. That has to do with the mix of our business; Asia is up 1% and Europe up 7%. It shows that where our mix for ROE business is. our results were favorably impacted by some very strong operational performance and a lot of that driven by the ramp up and now full operation of our smelters. So our in-house lead recycling is now at the levels that we expected. Our segment income was up to $171 million, that’s 12% up from last year this time, and one other things that I think the team has done a good job is even though lead price – cost for scrap has moderated some, it’s still at very high levels and they have been able to go out and get commercial arrangement with our OE customers to offset some of the lead cost. The last thing I’d like to talk about is that there is a 3% to 4% price increase effective this quarter, this coming quarter, and fourth quarter, and we should expect to start seeing the benefits to that immediately. If you move to Building Efficiency in the next slide, you can see that Building Efficiency continues to struggle in the top line and we talked about their backlog, but we’re very proud of what they have accomplished on their bottom line and they continue to not only get cost efficiencies, but also to be successful and allow their pricing initiatives. So for the quarter they are down 3.7%, and the revenue growth if you want to look at it by region is up in Asia 3%, but it was offset by a softness in the more mature markets. Overall, our quarter, we have a backlog of $5.1 billion and that’s down 5% from a year ago. And if you want to look at it that by region, where we are seeing the softness is in Europe, Asia, North America, and both in service and system. So the mature markets and it’s pretty broad across the board where our backlog is lying. As you know, we don’t keep backlog information on our UPG business residential, so that would be a little bit different and not included these numbers. For the first time and this is really good news that we started to see orders pick up. So I don’t know that we can consider a trend yet, but we’re hopeful we had very, very strong orders in the month of June. I believe the June, were up 12% year-over-year, and over the quarters up 2%, and that's the first time we've seen that in quite sometime. Let me give you some statistics of where that came from. 4% in Europe, which is a real surprise, 27% in Latin America, lot of that driven by a lot of the infrastructure that’s been built in Latin America for the Olympics and the World Cup; up 1% in Asia, 1% in North America, and we saw some softness in Middle East, down 18%. But if you recall that part of the world is driven by very, very large projects. And so, if you look at it on a year-on-year basis it sometimes very difficult, but we're very happy with the fact that our orders are trending up, and not only that I would tell you that we're starting to see our pipelines become stronger and stronger, particularly where we've had the most softness in our Solutions business. So we are very hopeful. Our segment income up to $314 million, 14% higher than 2012, and I think we are all very proud to see the sustained margin increase within building efficiencies. It's been a strong story and it continues. Steve talked earlier about the market conditions improving. I think that specifically around the federal government and the state and local governments, we’re still seeing some softness in some of the institutional markets otherwise, but things have hopefully hit their bottom and we’ll look to see if we start to see improvements at the end of the year. So I'm hopefully if we're going to use terms that Bruce used last time for this business at least on the top line maybe we're going to be at a bit of an inflection point ourselves. But we're not counting on that, because they continue to work on operational improvements. If you go to the next slide that speaks to that, I want to talk about a couple of things that are going on within the Building Efficiency business. A lot of these margin increases have had to do with pricing opportunities and some overall SG&A management. One of the things that we want to talk about is that, there are some structural changes that we’re also doing within the Building Efficiency business that will allow them to become more effective. You may or may not know, but within our North American business, we have multiple businesses that serve the market. We have a Security business. We have a Systems business, which serves the construction market. We have our Solutions business, which is performance contracting, and we have our Service business. We are going through an initiative now in order to combine those operations from a management perspective, from a customer perspective, so that we can be more effective serving our customers while keeping the operational excellence that we have within each one of those businesses. This will streamline our sales efforts. This will lower our cost to serve, and I think our customers have given us feedback that they’re looking forward to this opportunity. This is a major change initiative, it’s a big part of our business, and we have high expectations. This will drive margins, cost reductions, productivity in the near-term and growth in the long-term. Another change that we’re making and it relates directly to the fact that we’re going to continue to invest in Building Efficiency is that, we separated our Global WorkPlace Solutions business, which will be a standalone business and report directly to me. We’ll continue to have the synergies and pull through, as we have had in the past. But what we see is that we don’t need the Building Efficiency business with all it’s on their plate and the great things that they have going and the great opportunities we have in front of us focused on this business. We’re going to allow the World Services business, for those who have been following for a long time was a separate business at one point. They’re focused on the things that it needs to do in order to become more successful. And we have success and that business will be driving margin improvement. So we’ll talk more in the future about that. We’re very bullish on the opportunity we have to get the margins up to a level of internal, if you talk from the EBIT perspective of around 5%. So I’m excited about both opportunities in the team at Building Efficiency and both GWS is pretty excited, so more to come on that. With that, I’ll turn it over to Bruce.
R. Bruce McDonald: Okay, thanks, Alex, and good morning, everyone. So I’ll start here on Slide number 10 for Automotive Experience. So you can see here a good quarter for Automotive, and from a top line perspective, we are up 4 %. If you back out exchange, we’re actually up about 5%. If you look at the individual segments, Seating sales were up 6% excluding foreign exchange, interior sales were flat and electronics sales were up 2%. Again, all those numbers exclude foreign exchange. Geographically, and we always like to look at our geographic numbers in the context to the production environment, and pleased to say that all regions we outperformed the markets. If you look at North America, talk about our sales being up 11%, and that compares to the market being up 6%. In Europe, we are up 4%, in the downmarket where it’s down 1% as Steve talked about earlier. And in China, we continue to see very strong momentum, but there, we continue to gain share primarily from some of the Chinese brands, and the sort of market shift towards the quality and our customers putting more dollars in Interiors for sales for us in the quarter. We are up 23% to $1.4 billion, again, that includes our non-consolidated businesses, and that compares very favorably to 23% to the 10% increase in auto production in the quarter from China. So good results geographically. If you look at our bottom line, we have great results here. we’ll start to see the benefit of our restructuring and cost actions here. so you can see our profitability was up 34%, $279 million. We benefited from the higher revenues in North America, operational improvements in all sort of our theaters of operations, but most notably in metals, our European business and in our Interiors business in Europe specifically. In Europe, as Steve reported earlier, we made a profitable $11 million in the quarter, which was significantly better than the $30 million to $35 million loss that we had guided to during our Q2 call. If you really think through this what drove that improvement, when we gave our guidance, we talked about Europe production being down 3%, and the numbers came in at only down 1%. So we definitely got a lift in terms of the market environment. But the most of the improvement was just the pace of generating the improvements in our businesses in Europe, and again, Metals, our Seating business and our Interiors business all equally contributed to the favorable performance here. In the quarter, we also know engineering costs were about $20 million higher year-over-year, when I talked through our SG&A levels later on, that’s really the driver for the higher SG&A on a quarter-over-quarter basis. Margins in Automotive came in at real nice 4.9%, 100 basis point improvement versus last year, again, geographically if you look at the results in North America, 7.1% in Asia where it’s 15.3%. And as we – just one clarification here, we did note in our press release and we have it here on the slide. We didn’t have a gain on the sale of some assets in automotive that was about $29 million, you can see that in our cash flow statement. That was something that we had expected more than our guidance. Well, I can tell you that most of that benefit was offset by litigation charges and other costs related to the downsizing of our business in South America. Slipping to Slide 11 and maybe just a few comments on the divestiture that we announced this morning, so earlier today, we announced we’ve signed a definitive agreement to sell the HomeLink product line to Gentex Corporation for $700 million in cash. As many of you know, Gentex is the largest customer of this product line and very early in the divestiture process here. Gentex approached us with an offer to buy the business, the HomeLink product line. And this is a fairly easy business for us to separate, very straightforward in conjunction with discussions what we had with our financial advisors, we decided to pursue basically a two-step divestiture process of goal, with the divestiture of this product line to Gentex and markets remaining business to other strategic buyers. We believe that following that strategy, we generate more value for our shareholders. The Gentex transaction is subject to the normal regulatory approvals. We don’t expect there to be any difficulties and our expectation is the transaction should close on/or about September 30, which is our fiscal year-end. Regarding the remaining Electronics business, I guess, I would just say that the process, we’re at where we thought we’d be. We are in discussions with several strategic purchasers. and right now, we’re targeting to have an announcement in terms of the sale of that business on/or before our fourth quarter earnings call. So things are going as we expected, and we’re pleased to have brought the HomeLink sale to conclusion with Gentex this morning. Turning to the financials and maybe, just before I get into the details, you’ll note that in our press release, we did have two non-operational items, which resulted in a net benefit of $0.05 in the quarter. And those were from additional restructuring charges primarily around our Automative Experience business and Building Efficiency business. Those charges, I would say are primarily around our downsizing our footprint in Europe, and with regard to Building Efficiency, it’s implementing some of the organizational changes that Alex referred to in his slides. So if we just look at the numbers here in the quarter, you can see our revenues were up 2% at $10.8 billion, again, if you would back out exchange that’s actually been up about 3%. We’re pleased to see strong gross profit improvement and we’re up 90 basis points to 15.5%. The drivers in terms of our margin improvement were Interiors, Metals and Building Efficiency improvements that Alex referred to in his comments. It terms of SG&A as a percentage of sales flat at about 9.1%. The benefits that we saw from our restructuring actions were largely offset by increased investments in some of our emerging market infrastructure and the higher engineering spend that I referred to in Automotive. Equity income picked up a little bit about $5 million higher than a year ago, and you can see our segment margins up 110 basis points to 7.1% in the quarter. Slipping to Slide 13, you see financing charges were up about $8 million versus last year, that’s really just higher average levels of debt. As we get into the fourth quarter, we’re again going to start to see as our financing costs go down as we start to see the benefit of the strong free cash flow generation that’s coming through here. If you look at the tax rate in the quarter at 20% is consistent with our guidance and you’ll see that’s up from the 17% that we’ve had last year. So even though, our earnings per share were up 18%, you see we did have a little bit of a headwind here in terms of the tax line. Slipping over to Slide 14, I’ll just make a few comments in terms of our cash flow and balance sheet. So we saw a very strong cash performance. We talked about this in our last call. $1 billion was our operating cash flow in the third quarter. that enabled us to reduce our net debt by about $556 million in the quarter and lower our debt to total capitalization to 31.7%, and that’s about a 270 basis point improvement in the quarter. In terms of working capital, again, we saw some good performance here. trade working capital, which we define as payables, receivables and inventory, came down to 6.5% of sales, which is about a 20 basis point year-to-date improvement. In terms of working capital, we are pleased to see we were actually, had a source, the number on the slide is actually incorrect, that’s the one – it was actually $272 million. That’s the one number I put together in the slide, but I made a mistake there. But $272 million is a good source of cash from working capital in the quarter and we expect to see some more cash from working capital come through here in the fourth quarter. In terms of CapEx, $265 million, as you can see that’s coming down. Our full year outlook, we’re maintaining at about $1.2 billion. That’s where we see the full year CapEx coming in line here. In terms of the fourth quarter, our expectation is we’re going to see net debt reduction, again excluding the divestiture proceed of about $600 million to $650 million. So what we’re really saying here is that, on our Q2 call, we talked about net – our debt coming down about $1 billion in the second half, right now, we see that coming down at about $1.15 billion to $1.2 billion over the back-end of the year about $150 million to $200 million better than we told you at our Q2 call. We do have some debt maturities that are coming up, as we’ve noted here on the slide. so we’re going to fund $300 million of debt maturities with cash from operations here in the fourth quarter. And as we get into calendar 2014, we have $800 million of debt that comes due on our second fiscal quarter. Our thinking right now is, we will apply the proceeds that we get from the Electronics divestment to fund out those maturities. And then lastly, just a few concluding comments before we open it up to M&A. So again, Q3 really was an inflection point for us and with our earnings here been up 18% on a year-over-year basis. I know that over the last quarter, either Alex, Glen, Dave or myself, I think we met with many of our analysts and a lot of our investors. We know that we’ve not moved up to our shareholders’ expectations here, and we believe that our third quarter results are an important step – another important step I guess I should say and rebuilding the confidence that that we’ve had that investment communities had with the management team. So as we look into the fourth quarter, we’re very confident and the guidance that we’re providing this morning. We’re tightening the range in terms of our full year to be $2.64 to $2.66. Our confidence is really driven by the same things that we were talked about in Q3, same factors, many of which are completely under our control. We continue to see good, and as we continue to expect good sequential improvement in our Auto business in Europe and South America. in Building Efficiency, if you look at our pipeline and support further improvement in Q4 orders, and for the fourth quarter, we do expect Building Efficiency to show top line growth. so we’ve had several quarters of down revenue in Building Efficiency. We expect that to reverse itself here in the fourth quarter, and we expect that strong momentum that we’ve had in terms of the margins to continue. From our restructuring perspective, our initiatives are on track and gaining momentum, and they’ll deliver additional benefits here in the fourth quarter. In terms of our EPS outlook for Q4, we’re introducing guidance here a little bit ahead of expectations, $0.93 to $0.95, excluding any items that represents about a 21% to 23% year-over-year improvement. And just one point of clarification, in the fourth quarter, we may elect to treat our Auto Electronics business as a discontinued operation. And so the guidance that we’re providing here the $0.93 to $0.95 is inclusive of the operating results of Electronics. So if we decide to reclassify Auto Electronics as a discontinued operation, the guidance is really going to be our income from both continuing and discontinuing businesses. So I just want to make that clear to everybody. so we’re not dancing that around on our fourth quarter call. So with that, I’m going to turn it back over to Glen. and I think, we’re going to open up for Q&A.
Glen L. Ponczak: Great, thanks, Bruce. And so I guess we’re ready to start taking questions. And I think just based on the number of calls we’ve got blogged in here, we probably have a lot of folks in the queue for questions and answers. So as we’ve done in the last couple of calls, if you could limit your questions to one good question and one follow-up, and if you’ve got more, just get back in the queue again, and hopefully, we can get to you. Okay. with that Phil, we’ll turn it over to you for question-and-answer queuing.
Operator: Thank you, sir. (Operator Instructions) Our first question is from Ravi Shanker from Morgan Stanley. Sir, your line is open.
Ravi Shanker – Morgan Stanley & Co. LLC: Thanks very much. Good morning, everyone.
Stephen A. Roell: Hi, Ravi.
Ravi Shanker – Morgan Stanley & Co. LLC: Hey. So I had a question regarding the re-segmenting within BE. you did a similar line of business type reporting structure in Auto, three or four quarters ago, and then you announced the Electronics business up for sale, any read across to what's going on in BE and GWS being classified as separate business?
Alex A. Molinaroli: This is Alex, Ravi. Yeah, we expected this question. The reason we did this is exactly for what we stated. We think that both of those businesses are important to us, and we think that there’s opportunity and in order for us to capitalize not only on the GWS opportunity, but as important, the BE opportunity, is really to separate the two. So I wouldn’t draw the analogy between the two. It's an obvious analogy, but I think as we start changing the way we manage our business, we're not trying to signal one thing or another. But we do expect GWS to improve its performance and they know that we have some high expectations and we need to make sure that we have a business that can compete and win.
Stephen A. Roell:
Ravi Shanker – Morgan Stanley & Co. LLC: All right.
Alex A. Molinaroli: The last thing I’ll leave with Ravi is that they’ll try to read things into anything, but we have been pretty clear that we are looking at our portfolio to make sure that it all makes sense. So just don’t over read anything, but it hasn’t changed our message that capital allocation is important, making sure that we have businesses that can be successful is important, but I wouldn’t over pivot on this.
Ravi Shanker – Morgan Stanley & Co. LLC: Understood, thanks for detail. In Glen’s words that was my good question. My follow-up is can you give us any additional detail or numbers behind the additional restructuring actions that you put in place in the third quarter? Thanks.
Stephen A. Roell: Let's go through that, we'll take that as a follow-up with you Ravi in terms of – I mean, I kind of touched on where they verged and focused. It's really focused on downsizing in Europe. And we've talked in the last quarter about as we have changed our outlook in terms of the case that we see that business that that market improving, we are de-emphasizing that from a capital allocation point of view. We've got heavy restructuring demands to turnaround our Interiors business, and so that's where the money has gone in terms of auto. If you think about Building Efficiency, the other piece and there it's really been, we took a charge to get it started and integrating in North American business. And so we have three or four separate businesses, we’re going to be combining the branches. we got management changes and things like that. So we’ve taken a charge to get started with that.
Ravi Shanker – Morgan Stanley & Co. LLC: Understood, I’ll follow-up off-line. Thank you.
Stephen A. Roell: Thanks, Ravi.
Operator: Thank you. Our next question on queue is from Rich Kwas from Wells Fargo Securities. Your line is open, sir.
Richard Kwas – Wells Fargo Securities, LLC: Hi, good morning, everyone.
Stephen A. Roell: Hi, Rich.
Richard Kwas – Wells Fargo Securities, LLC: On the Power margins, they were a little bit lighter than we were looking for and I think you explained about the lead cores and what not in your increasing pricing, but as you think about the fiscal fourth quarter, should we get a pretty steady uptick on a year-over-year basis when you’re looking at the segment margin?
Stephen A. Roell: Yeah, I think the margins will continue to uptick. What I would tell you is we’re positioned for volume and since the volume didn’t happen, it’s a capital intensive business, high fixed costs, and so even without the volume, we didn’t get the – we got some margin improvement. If and when the volume does come through, because we haven’t lost any share, what we’ll see is those margins, not only the cost part of the margins, but we’ll get the absorption that we haven’t seen yet.
Richard Kwas – Wells Fargo Securities, LLC: What sort of type of price increase, Alex, okay?
Alex A. Molinaroli: Well, we had a price increase in the other thing. Just to note I was looking at my notes earlier that our AGM volumes were up 40% in the quarter. so we’ll continue to see that grow. So it’s all tailwinds. Volume would be our best friend that we could have right now.
Richard Kwas – Wells Fargo Securities, LLC: Okay. That makes sense and…
Stephen A. Roell: I would just comment, Rich, I saw in your notes in terms of where you’re at versus last night, if you look at the quarter, we were down a couple of million units versus what we thought in terms of the aftermarket in the quarter. And if you look, sort of did the math in terms of the contribution that we make, the high fixed costs, capital cost as Alex talked about. that’s really the reconciling item.
Richard Kwas – Wells Fargo Securities, LLC: Okay, all right. That makes sense. And then just a follow up on BE with pricing, you cited that as a driver of the margin performance this quarter. And I know that had some increasing benefit, is there a timeframe where you start to compare or should the pricing initiative continue to have benefits on the BE margins as you move into 2014?
Alex A. Molinaroli: I think we're going to continue to see benefits. The pricing opportunity is different kinds of opportunities, ones as it relates to very broad base recovery and then the other is understanding the elasticity of some of our products and how they are going to market. So I think we found plenty of opportunities plus I would tell you this just things like this initiative, the North American initiative, that's going to uncover not only as much as pricing opportunities, but we are going to get a lot more leverage out of the opportunities and the customer share of wallet with the customer, and that's going to give us a lower cost to serve. So that will also show up in the margin line.
Richard Kwas – Wells Fargo Securities, LLC: Okay.
Stephen A. Roell: The only thing I can mention that Alex is the lot of the pricing actions are in our Solutions business and that’s just flowing into our backlog…
Richard Kwas – Wells Fargo Securities, LLC: Yeah.
Stephen A. Roell: Right now, so that will flow into revenues later, okay, into 2014.
Richard Kwas – Wells Fargo Securities, LLC: Okay, great. Thank so much.
Stephen A. Roell: Thanks, Rich.
Operator: Thank you. Our next question is from Emmanuel Rosner from CLSA. Your line is open, sir.
Emmanuel Rosner – Credit Agricole Securities, Inc.: Hi, good morning, everybody.
Stephen A. Roell: Good morning.
Alex A. Molinaroli: Hi, Emmanuel.
Emmanuel Rosner – Credit Agricole Securities, Inc.: My question is around capital allocation. You guys obviously are starting to generate some more meaningful free cash flows and then there is obviously some potential proceeds from divestitures. And so it looks that like the proceeds from this particular divestiture are your mark towards debt repayments, but I think I would like to ask you more generally and looking forward, as you are starting to generate more free cash, what are your priorities in terms of debt pay down versus returning some of it to shareholders maybe in terms of buyback and I think you’ve also more recently been much more open about the idea that looking forward you’d be interested in some more potential acquisitions, where does that come in terms of priority for cash use?
Alex A. Molinaroli: Okay, well, I think the reason why we pointed to, when Bruce talked about his use of proceeds, that’s sort of our near-term views of what we would use with the proceeds from HomeLink, is to pay down the cash and the debt that’s terming. But what we are really doing is if you think about it, we are deleveraging our balance sheet. We want to protect our rating. That’s one of our criteria. I think from the standpoint of share buyback, I think we still can find opportunities in our business to grow the growth platforms. So I wouldn’t tell you that our share buybacks are really there to protect our dilutive nature of some of our options, exercises. So share buybacks are not high in our priority list, but I do think that we are looking at different ways to allocate our capital. And I think in terms of M&A, we’ve talked about in the past that our priorities would be in building efficiency and that’s really what we are working on right now is how we can do a better job of finding new growth platforms to complement our BE business.
Emmanuel Rosner – Credit Agricole Securities, Inc.: Okay. And I guess as a follow-up in terms of the sustainability of the free cash flow, obviously your CapEx went from $1.8 billion last year to $1.2 billion, do you view that as a new sustainable rate and even possibly lower obviously if there is some divestitures going forward or do you think that it will serve like a more of a one-time effort to where you are trying to serve. We focus capital allocation back to $1.2 billion might be too low for on an ongoing basis?
Alex A. Molinaroli: Yeah, let me help you out with this. This is Alex and then Bruce can give some more specifics. In December, we’re going to talk more about this, but our businesses are changing. The Automotive business is more mature than it was in this growth period, and we’ve become more selective and then as we talk about becoming more selective, that means that we’re going to have a different level of capital expectations within that business. It’s not that there is not opportunities there they are just not always attractive to us. So we’re clearly making a conscious decision in Automotive about how much to fund that business, and so that and they’ll have an impact on the growth of that business. So that’s debt free cash flow that we generate. In Power, I think we will start seeing that creep back up over time because those opportunities are there. Just right now, where we’re is in a position that we’re utilizing the capital that we’ve already spent, but the plans are still in place to continue to spend in Power. So I don’t know that we’ll stay at the exact levels that we’re at right now. I think this next year we’ll be at low again, but overtime it will continue to come back. But what I would expect is when you see this free cash flow is that the opportunity to invest in BE, which is not capital intensive, which may show up in different ways and that's where we talk about things like some significant growth platforms around acquisitions. So the future is, a way is out, but I would just tell you that's the way we’re thinking today, and Bruce, I don’t know if you’ve got something to add to that?
R. Bruce McDonald: No, you covered it well.
Alex A. Molinaroli: Did I?
Stephen A. Roell: Yes. I think Bruce’s the only comment is would be the reinvestment ratios are where the rate that we’re looking at right now and targeting.
R. Bruce McDonald: Yeah, I think…
Emmanuel Rosner – Credit Agricole Securities, Inc.: All right.
R. Bruce McDonald: And what you’re really going to see here is, well, first of all, I guess, maybe the $1.8 billion was extraordinarily high. If you would go back and look at our historic level of investments in the backout of the last two or three years, you’d find our average was less than $1 billion. So I wouldn’t use the $1.8 billion as a benchmark. That was a peak. It peaked out in Auto and Alex has already talked about the facts we’re going to de-emphasize that, in this and as we get into 2014, we can take a little bit of a breather in Power Solutions, because we’ve got a little bit, we’ve kind of invested ahead of the curve in the lithium ion in China and AGM. so we don’t need to sort of restart those capacities next year. And those are the ones as the market develops, those are the three things where you would see CapEx creep up. And then on the balance sheet side, maybe just to your first question, our target debt to equity, our debt to total cap ratio was in that 30% to 35%. so Steve touched on the fact what we’re going to do with the money when we get it. but our target leverage is in that 30% to 35% range. and so we’re focused on improving our operations here. we know, as I talked about in my comments that we got to re-earn our investors’ trust and we think we’re on the right track to do that. So we’re not going to do anything large here in the next few quarters, but we are going to start to put more emphasis on finding some M&A platforms to accelerate some growth in largely Building Efficiency business.
Emmanuel Rosner – Credit Agricole Securities, Inc.: All right, thanks a lot, I appreciate it.
Stephen A. Roell: Okay.
Operator: Thank you. Our next question is from Rod Lache from Deutsche Bank. Your line is open, sir.
Rod A. Lache – Deutsche Bank Securities, Inc.: Hey, buddy, a couple of things. Firstly in Building Efficiency, could you talk a little bit more about what the drivers were of that $50 million increase in earnings by business line? in other words, what are you seeing in terms of Service, Systems, GWS, and how does that look going forward?
Stephen A. Roell: Sure. Hang on one second. What I would tell you is Service has been strong and it continues to be strong. even though we’re not seeing some of the top line that we’ve been hoping for and maybe some of this warm weather will help out, but Services has been incredibly strong. Our Systems continues to just hang in there, but it’s not having the kind of growth that it’s had in the past. GWS has actually grown and continues to grow and then Asia, I think those are the places and on the year-on-year basis, we’re seeing some benefit in Europe, but it’s for a pretty slow…
R. Bruce McDonald: Slow based.
Stephen A. Roell:
Rod A. Lache – Deutsche Bank Securities, Inc.: So from an earnings perspective, you are saying that Service and the improvement in the GWS were the biggest driver of the $50 million year-over-year increase. Is that right?
Stephen A. Roell: Two of the biggest, yes.
R. Bruce McDonald: Yeah.
Alex A. Molinaroli: Yeah.
Stephen A. Roell:
R. Bruce McDonald:
Rod A. Lache – Deutsche Bank Securities, Inc.: Okay. And then two housekeeping things, one is what's the revenue and EBITDA specifically associated with the HomeLink business just so that we can understand what's left? And the point of clarification, the 3% to 4% increase in price that you have in Power Solutions, how does that actually rollout? I understand there is some contractual limitations and maybe your contracts with OE versus aftermarket might be a little bit different?
Alex A. Molinaroli: Yes, let me take the pricing one first, this is Alex and then I’ll let Bruce comment on HomeLink. I think that our announcement is in the rears of where we’ve already made the movements in the marketplace. So for the most part, we’re in pretty much control. So I would expect that all this would be in place within the quarter. And hopefully, most of it in the first part of the quarter, I don’t think those are going to be a whole lot of lag on this. Where we had the biggest lag on any pricing we’ve done recently was when we introduced the new premiums for lead that was something that we did go back to the OEs and renegotiate. In this particular case, I don’t really see much of a lag.
Stephen A. Roell: Last year, just as a comment Alex, like maybe comment last year, it moved up so quickly as we had hard time.
Alex A. Molinaroli: Yeah.
R. Bruce McDonald: Yeah.
Rod A. Lache – Deutsche Bank Securities, Inc.: Alex, that’s global or is that just North America, the price increase?
Alex A. Molinaroli: Well, that’s primarily North America, in the rest of the world that, we’ll announce price increases, but for them, it’s a little less across the board at the way that we managed the North American business is unique. So I would consider that North American.
Rod A. Lache – Deutsche Bank Securities, Inc.: Okay, thanks.
Stephen A. Roell: Yeah. And then Rob, your question in terms of Gentex, I mean, we – as part of our discussions and our agreement with Gentex, we have agreed jointly what we’re each going to say and we can’t really say anymore, I’d refer you to them to get the answer for that question.
Rod A. Lache – Deutsche Bank Securities, Inc.: Any color on whether it’s half your electronics or it’s close to I mean just general flavor for what you still have left?
Stephen A. Roell: I can’t comment.
Alex A. Molinaroli: No.
Rod A. Lache – Deutsche Bank Securities, Inc.: Okay.
Alex A. Molinaroli: What we typically do, relatively call and we have a transaction like this. We typically, when we close, we’ll provide you more detail regarding what the gain is, what the book gain is, what the aftertax proceeds are, et cetera. So we typically do at the time we close.
Rod A. Lache – Deutsche Bank Securities, Inc.: Right.
R. Bruce McDonald: The only thing that I can tell you on that, there is – we expect very minimal tax leakage, so pre-tax is largely be a minimal tax charge, so no cash taxes.
Alex A. Molinaroli: Well, I would just make a side comment because everybody else is too polite not to say it is that just the lot of the noise has been out there in the media hasn’t been helpful and hasn't been true. So I guess everything on the Internet is not true.
R. Bruce McDonald: We were referring to the general press.
Rod A. Lache – Deutsche Bank Securities, Inc.: Thanks for the tip.
Operator: Thank you. I guess we’re now moving to you our next question. Our next question is from David Leiker from Baird. Sir, your line is open.
David Leiker – Robert W. Baird & Co.: Good morning, everyone.
Stephen A. Roell: Hi, David.
Alex A. Molinaroli: Hi, David.
David Leiker – Robert W. Baird & Co.: I wanted to try and dig to the battery base, particularly in North America, I mean, we got several quarters in row of weak demand and my mind there is three buckets behind it and if you could help clarify on where we stand and that's one market demand the number of vehicles on the road in the U.S. haven't grown for a while. The weather has been an issue. And is there an issue here with the batteries lasting longer than what, I mean, clearly they’re lasting longer than what’s your warranty period, but is that an overbuilding issue that presents the margin opportunity for you and just kind of fill in some color along those issues?
Alex A. Molinaroli: I'm not sure I understood the last could you clarify the overbuilding part of that question?
David Leiker – Robert W. Baird & Co.: Yeah, you build a 48-month battery and it lasts 60 months, you put too much lead in it?
Alex A. Molinaroli: No, no, no, no, no. Well, we’ve never been guilty of putting too much lead in the battery.
David Leiker – Robert W. Baird & Co.: Okay
Alex A. Molinaroli: I still think it's been a weather related phenomenon. Now clearly batteries have become better and better and the systems in vehicles have become better and better as it relates to their own systems and the wear and tear that they have on batteries. That is all true, but what we're seeing here is a phenomenon that correlates geographically to weather. That doesn’t mean that is not other factors. so eventually this will catch up. now there is some lag, if you go back in time when we had the downturn of the OE is – the OE downturn, there will be a bubble that we see and car registrations have been reasonably consistent in and out growing like we’ve seen in the past. But all of our models would say that we have pent-up demand. So I do still think it’s just a matter of when not if, we haven’t lost any share. and even if battery demand was being put off, eventually, we catch up to that.
David Leiker – Robert W. Baird & Co.: Great.
Stephen A. Roell: So it’s frustrating for you, it’s even more frustrating for us. Unfortunately, we’ve been out to offset that. we’ve grown in our OE business and that will be even more to come and we’ve secured a whole bunch of customers here recently. and we’re starting to secure some customers in North America and some larger retails. we’re not ready to talk about that yet. So we’re also gaining share. So I think well, if it continues we’ll be able to compensate a bit for it with new customers, but we’re still planning for this volume to come.
David Leiker – Robert W. Baird & Co.: Okay. And then just to follow-up on the battery, thanks for the numbers on the AGM, what portion of your shipments are AGM today, and has that shift happened enough to start to also become a margin driver?
Stephen A. Roell: In Europe, it’s a margin driver, overall, it’s not. because are still predominantly, that’s a European number, and I guess what, I don’t have those numbers in front of me. So I’d be able to guess, let’s get back to you. But it’s become a reasonably significant number in Europe, in the OE business. but otherwise it’s still on the margin. but it’s moving the numbers. Our European business is very healthy, and that has driven a lot by the AGM business. But I don’t have those numbers right here.
David Leiker – Robert W. Baird & Co.: Okay, great. thank you very much.
Stephen A. Roell: Okay.
R. Bruce McDonald: Thanks, David.
Operator: Okay, thank you. Our next question is from Brett Hoselton from KeyBanc. Your line is open, sir.
Brett D. Hoselton – KeyBanc Capital Markets: Good morning, gentlemen.
Stephen A. Roell: Hi, Brett.
R. Bruce McDonald: Hi, Brett.
Alex A. Molinaroli: Hi.
Brett D. Hoselton – KeyBanc Capital Markets: I was hoping you could just briefly talk about the European Automotive business. Two things; one, production outlook particularly curtailments or extensions of summer shutdowns in Europe, and then secondly, margin progression as we kind of move through the next year or two, what are your thoughts there?
Alex A. Molinaroli: Well, I can tell you from the fourth quarter, we don’t and we would know by now, but we don’t see any significant production interruptions as around people lease moving things around summer shutdown. And so, there is no risk there, we would already have that announcement planned for. Obviously, as you know in North America it’s kind of the opposite. There has been a several production increases, but those have been out for a while now. And so, I would say, like there always just, Brett, there is very little revenue risk quarter out in terms of our industry. So we’re not too worried about it. And then in terms of your question around the auto margin guidance, I guess, I prefer to wait on that one, I mean that’s typically something that we share as our December timeframe. But we are on record, I would say and that we have given sort of trend line guidance in terms of the types of margins, the glide pass that we expect. And right now I wouldn’t expect this is going to be materially different.
Brett D. Hoselton – KeyBanc Capital Markets: Thank you very much, gentlemen.
Stephen A. Roell: Thank you.
Alex A. Molinaroli: Next question.
Operator: All right. Our next question is from Brian Johnson from Barclays. Sir, your line is open.
Brian Johnson – Barclays Capital, Inc.: Good morning.
Stephen A. Roell: Hey, Brian
Alex A. Molinaroli: Hey, Brian
Brian Johnson – Barclays Capital, Inc.: Alex made a comment that I want to go back to with my main question that GWS standalone, the target is 5% margins. Want to get a sense when we think about the operating income, can we expect that similar kind of inflection or is in part you get the 5% by restructuring some of the pass-through revenues.
Alex A. Molinaroli: Yeah, I’m sorry, first question, the question we had obviously is whether or not we get there too restructuring some of the revenues, that’s not what we are doing.
Brian Johnson – Barclays Capital, Inc.: No, no, no, no. It’s of operational.
Alex A. Molinaroli: Okay, you are talking about pass-through versus. No, no, well, the first thing as Bruce pointed out, and I did say EBIT, that in segment income is probably 4%.
R. Bruce McDonald: Yes. I think we allocate (inaudible).
Alex A. Molinaroli: Pay for all of last year. But it’s 4% still significant improvement of what we have got. And it changed the entire complexion of the business, but that has nothing to do with change in how we report the numbers. It has everything to do with how we drive our operations. And so it’s very much a change program from an operational view point to leverage the scale that we have that in the past we have not been able to take advantage of scale meaning people and truck density and people density at our sites. So we’ll have more information about that strategy probably in December, but it’s something that, that’s been well thought out. We understand what we need to do and the team’s already working that problem. So I think we’ll start to see that stuff and we’re talking over two-year period to get that. so we’ll start seeing the improvements over the next year.
Stephen A. Roell:
Brian Johnson – Barclays Capital, Inc.: Okay. And that’s probably answered my follow-up question, which is similarly on the – what kind of SG&A say, should we be thinking about from the consolidation within the North Americans three lines of businesses?
Alex A. Molinaroli: Yeah. I don’t think we really have a number for that. I mean obviously, we’ve got, we set aside restructuring to help us streamline that business. But we’ll provide more color on that as we move forward.
R. Bruce McDonald: But it’s a right question, Brian.
Alex A. Molinaroli: Yeah.
Brian Johnson – Barclays Capital, Inc.: Okay, thanks.
Stephen A. Roell: We have time for one more.
Operator: Okay, thank you. Sorry.
Stephen A. Roell: Yeah, last question here.
Operator: Okay, thank you. Our next question is from Colin Langan from UBS. Sir, your line is open.
Colin Langan – UBS Securities, LLC: Great, thanks for taking my question.
Stephen A. Roell: Hi.
Colin Langan – UBS Securities LLC: Can you just – you touched on that couple of questions earlier, but on the Auto Experience, can you talk about the margin progression sequentially from Q3 to Q4? I mean you took some restructuring action this quarter. Should we still see acceleration, because you commented I think on the general trend over time hasn’t changed. But should we see some improvement again next quarter or is this sort of a restructuring is kind of down in?
R. Bruce McDonald: Colin, I know there is a huge improvement on a year-over-year basis. Q4 is typically a good quarter for us, even though we do have some business shutdown impact in Europe. So I don’t have the – on the top of my head, I don’t have the margins for Auto in Q4. But I know they’re up, but I don’t know it’s up as much as we have it here in this quarter.
Colin Langan – UBS Securities LLC: Okay. And any color on the restructuring benefit. I mean, is that most of that done in Q3, I mean you took some more this quarter, so that would be really seeing into next year’s results?
R. Bruce McDonald: Yeah, yeah. The things that we took this quarter are definitely not 2013 items. And yeah, no, but as I said in my comments, we’re still gaining momentum in terms of restructuring. So there is more tailwind in Q4 than there was in Q3.
Colin Langan – UBS Securities LLC: Okay. And then can you guys provide a little color on, you said there were some other charges in Auto Experience that sort of offset that gain, I mean any numbers around that would be helpful?
R. Bruce McDonald: Yeah, like $20 million. So the net of the two items like $9 million, say $0.01 a share that equates to. And like I said, the charge is related to litigation reserves and what we’ve seen there is an up tick in product liability losses. And it really has to do with the period on which the ROE customers were bankrupt. So pre-bankruptcy cases what you – I think and we’re not unique here, as what you’re going to see is, suppliers and the OEs were generally standing shoulder-to-shoulder and when we had a product liability case, we generally paid a significantly lower amount than the OE. So we contributed to the settlement. Now, you’ve got cases where the OE is standing beside us, and we’re seeing sympathetic juries awarding large sums of money and we’re standing by ourselves. So I think you’re going to see in the industry that trend sort of pick up. so we had some losses on that that were not normal. And then the other item that I talked about was just related to cost associated with our downsizing in South America. So in South America, we’ve talked about going from like 11 plans to three or four. and so there’s some just some charges related to that downsizing.
Alex A. Molinaroli: That’s good.
Colin Langan – UBS Securities LLC: And the litigation reserves that’s in your North America margins still even though it’s 7%?
R. Bruce McDonald: Yeah.
Colin Langan – UBS Securities LLC: All right, okay. Thank you very much.
Stephen A. Roell: Thanks, Colin.
Alex A. Molinaroli: Thanks, Colin. Thanks everybody for calling. Dave Urban and I are available of course, for the rest of the day for your follow-up questions. and I’ll turn it over to Steve for some concluding comments.
Stephen A. Roell: Yeah, just real quick. Okay, I mean, I think we are very pleased with the quarter. As Bruce mentioned, I think we gained credibility back. but we understand we’ve got ways to go here. We got great momentum in our businesses, and I think the fact that we expect strong earnings across all three of our reported businesses. but really as we talked, some like responded to questions. it goes beyond that. We’ve got good growth and good prospects into the subsets of all three. So we feel very good, because it is an awful lot of our legs. and thank you much for coming on and we look forward to the call at the end of Q4, and having a record year. Thank you very much.
Alex A. Molinaroli: Thank you.
Operator: Thank you. This concludes the conference. Thank you all for participating. You may now disconnect.